Operator: Good morning. My name is Grant, and I'll be the conference operator today. At this time, I would like to welcome everyone to the Sandstorm Gold Royalties Conference Call. All lines have been placed on mute to prevent any background noise. Please be aware that some of the commentary may contain forward-looking statements. There can be no assurance that forward-looking statements will prove to be accurate as actual results and future events could differ materially from those anticipated in such statements. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Mr. Watson, you may now begin your conference.
Nolan Watson: Well, thank you Grant and good morning everyone and thank you for calling into the second quarter earnings call for 2021. As normal this morning, I'll provide a brief update on the company and then Erfan, our CFO, is going to walk us through the second quarter results. And then Dave Awram will provide a more in-depth look at some of the assets underlying the acquisitions that we made during the quarter. After that, we'll turn it over to the operator for a question-and-answer period. And if anyone has a question that does not need to be part of the live Q&A, you can ask those questions through the web portal and we'll be sure, we make sure that everyone gets a direct response from us after this call. At this time, we'll be going through a prepared PowerPoint presentation on the web portal, so if you are able to please turn your attention there now. Overall, Sandstorm had another strong quarter in terms of production and cash flow, and Erfan is going to walk us through those details momentarily. As most of you are aware each quarter I like to take the most common questions that we're getting from investors during the quarter and provide answers for them publicly on these quarterly conference calls. And during Q2, the vast majority of the questions related to the acquisitions that we completed, as well as the timing expectations for both the Hod Maden EIA being granted as well as timing expectations for the Hod Maden feasibility study being released. And as part of this investors have been asking questions about our most recent understanding of timing for Hod Maden construction and first production. So I'll address these questions now and then I'll hand things over to Erfan. Starting first with the acquisitions that we made during Q2. During the quarter, Sandstorm made more acquisitions than any other quarter over the last four years. And so far in 2021, it's already been the third highest year in Sandstorm's history in terms of value of acquisitions made. During the quarter, Sandstorm first purchased for $7 million a royalty portfolio of 21 royalties on development, advanced exploration and exploration stage projects in the U.S. The vast majority of the value of which related to precious metal projects, and then Sandstorm purchased a $30 million gold stream on the operating Vatukoula gold mine in Fiji, which has produced 7 million ounces of gold over the past 80 years. And then finally, we invested US$108 million purchasing a royalty on a number of allies producing a exploration assets in Brazil, that include revenue from iron ore, copper and gold. I've been purposely telegraphing for a couple of quarters now that we believe that we were close to making a number of acquisitions. We're pleased that we were able to close a number of deals this quarter. And later in this call, Dave Awram, we'll talk in more detail about the specific assets underlying those deals. Having closed these acquisitions, we're now in the process of restocking our deal pipelines and we already have some quite interesting things that we're working on for potential feature acquisitions. Candidly, it feels fantastic to have been able to make $150 million worth of acquisitions and still be sitting here with no debt and cash on hand so that we can continue making acquisitions. As our investors know, we're conscious of dilutions and as a result, we have begun discussions with our banks about upsizing revolving debt facilities, and we'll continue working on that. So it's available for potential future deals. Now on to Hot Moden. It’s clear to me that a number one of our investors are wondering what's going on behind the scenes with respect to the timing of both the EIA and the Feasibility Study. And I'd like to take the opportunity to talk through where the process is at in more detail. And I believe that doing so will actually give investors a lot of comfort. Starting with the EIA. The EIA was submitted originally to the government quite some time ago. As is normal in Turkey the government departments involved in the permitting process are provided time to review the EIA and make comments and ask questions. This period of initial comments and questions was completed several months ago, after which Lydia has worked with the various departments to answer those questions and address any comments. And I've now been told that all comments have been cleared and all questions have been answered. Once each of these departments signs off the EIA then goes out to a public comment period where anyone can comment on the proposed EIA. And I've also been told that not only has each of the government department signed off, but also that this public comment period is now complete with literally zero comments coming from the public. So the next and final step is a final government sign-off, which we have been told will hopefully be granted by the end of next month. Overall, although there have been some delays, largely due to COVID lockdowns in Turkey, the process is now in the very final stages and appears to be going well. Moving on to the timing of the Hot Moden feasibility study, I'm happy to report the feasibility study is nearly complete, and the actual final report is in the final stages as we speak. And we're hoping to have it both announced and filed around the time of the granting of the EIA. One of the things that's become clear is that due to the slight delays in the EIA, as well as a couple of the longer lead items that were identified in a feasibility study, possibly taking a few months longer than originally anticipated, we're updating our guidance for the start of production from Hot Moden into mid-2024. And accordingly, we've updated our guidance for the company in terms of our company wide gold production to 125,000 ounces in 2025. We've always believed the Hod Maden was a permittable project that will be exceptionally profitable. And we're hoping that by the end of September, we'll have both the EIA and the feasibility study that illustrates both points. One last thing that I would like to address before handing it over to Erfan is the possibility of Sandstorm paying a dividend in the future. As our shareholders know all too well, I've been telegraphing that I believe that makes sense for the company to eventually become a dividend paying company. And that this is something that obviously needs to be approved by the Board of Directors. Sandstorm is a very well-diversified royalty company with strong diversified cash flows coming from a variety of assets around the world, which has been further bolstered by the acquisitions that we've made during the quarter. Yesterday, as part of our Q2 board meetings, we discussed at length, the possibility of Sandstorm becoming a dividend paying company. And for the first time, I’ve permission from the board to publicly state that they also agree the Sandstorm should become a dividend paying company. And that the declaration of such a dividend policy is imminent. And we expect to have the full details of our policy publicly announced by the end of this year. Year-after-year, Sandstorm has continued to prove that it's a growth focus company. And I believe we proved that yet again, this quarter. We're excited with the royalty portfolio that we built and we will endeavor to continue along the same path for the benefit of our shareholders. And with that, I'll hand it over to Erfan to discuss in detail the quarterly results.
Erfan Kazemi: Thanks Nolan. Hello everyone. Thank you for joining us today. This was an exciting quarter for Sandstorm in terms of new acquisitions and financial results. This first slide provides a snapshot of the company's financial results over the last four quarters. We've included a third bar in this chart, which in addition to sales and royalty revenue includes income from other interests. The income from other interests is a gain related to the recently acquired Vale Royalties. Some of you may know the payment for the Vale Royalties from the first half of 2021 will be payable to Sandstorm on September 30, reflecting a net sales royalty for the period January 1, 2021 to June 30, 2021. As the majority of these sales occur occurred prior to Sandstorm’s acquisition Vale Royalties, Sandstorm was recognized these accrued amounts as the pre-acquisition receivable. I think it's important to clarify that in subsequent quarters and going forward, the income received from the Vale Royalties will be classified as revenue and operating cash flow, similar to how our other royalty interests are treated and how you would normally expect. With that in mind, total sales royalty revenue came at $26.4 million for the second quarter and $32.3 million, including income from other interests. This represents an increase of 41% and 73% respectively when compared to the same period in 2020. Sandstorm set a new record of approximately 18,000 attributable gold equivalent ounces during the quarter. When compared to last year’s second quarter, when we were at the height of the operational shutdown to the COVID-19, this represents a 65% increase in gold equivalent ounces quarter-over-quarter. The average realized gold price has remained relatively constant over the first half of 2021, which has helped support these strong attributable ounce numbers. As a management team, we continue to be bullish on the long-term price of gold and certain other metal prices given the current global economic outlook. And so I anticipate Sandstorm’s financial results to benefit from strong, precious metal prices for the foreseeable future. We can dive a little deeper into the quarter-over-quarter comparison on the next slide. Revenue was comprised of $17.5 million in sales and $9 million in royalty revenue. If you direct your attention to the third line from the bottom, average cash cost per attributable ounce was $227. As a result, Sandstorm realized cash operating margins of $1,569 per ounce during the second quarter, which is an 8% increase when compared to the same period in 2020. Cash flow from operating activities, excluding changes in non-cash working capital totaled $17.6 million, a 31% increase in the same period in 2020. Net income was $8.6 million, up from $7.1 million in Q2 last year. The increase was attributable to an increase in revenue, as well as a $5.9 million gain on the revaluation of the company's financial instrument related to the Vale Royalties, which was both entered into and disposed of during the second quarter. The gain was partially offset by an increase in the cost of sales and increase in tax expense and a decrease in gains recognized on the revaluation of other investments. Moving on to the next slide, we see a breakdown of attributable gold equivalent ounces by asset. Cerro Moro under the Yamana silver stream agreement continues to lead the portfolio and attributable production. This stream agreement benefited from a 58% increase in the average realized selling price of silver compared to the same quarter of 2020. As well, there was a 10% increase in the number of silver ounces sold when compared to the same quarter last year. As we've discussed, the majority of the 3,400 gold equivalent ounces attributable to Vale Royalties package are represented by the gain on the revaluation of Vale Royalties financial instrument. With respect to the second quarter Vale Royalty receivable, royalty payments are paid by Vale on a semi-annual basis, reflecting production in the prior – preceding half calendar year period. As mentioned previously, Sandstorm will accrue the royalty revenue on a quarterly basis going forward. During our last conference call, I discussed that the first quarter of 2021 mark the end of the five-year fixed ounce delivery period from the Karma Mine. As of April 1, Sandstorm Gold stream entitlement is now 1.625% of gold produced at the Karma Mine for an ongoing per ounce payment equal to 20% of the spot price. These terms will continue for the life of the mines. The ounces sold from the Karma in the second quarter representative of these updated terms. Looking at these top producers, I’m encouraged by the diverse portfolio that Sandstorm has built with strong counter parties and a range of stable jurisdictions. Subject to closing conditions, in the second half of the year, we’ll see production from the Vatukoula Gold Stream added to the slip further diversifying our cash flow. The final slide provides a breakdown of attributable gold equivalent ounces by region and metal size approximately 60% of ounces came from operations in South America, largely attributed to Cerro Moro and the new Vale Royalties. With only three months of Vale Royalties revenue being recognized in Q3 2021. I expect the weighting of productions in South America and base metals we were reduced in the third quarter. Sandstorm remains the precious metals focus royalty company. And this year we anticipate approximately three quarters of revenue from gold and silver increasing to more than 80% by 2024. With the addition, the Vale and Vatukoula transaction Sandstorm has increased its production guidance and is now forecasting between 62,000 and 69,000 attributable gold per ounces in 2021. And as Nolan mentioned, we expect production to be over 125,000 ounces in 2025. I’ll leave it there and pass the mic over to Dave.
Dave Awram: Great. Thanks, Erfan. So as Nolan said, this asset update is going to focus on the two new acquisitions in Q2 of Vatukoula and the Vale Royalties. Vatukoula assets or the Emperor Mine, which has been known as for a longer period of time is in the Northwest region Fiji’s main island of Viti Levu. The mine has been operated for almost 85 years and has produced more than 7 million ounces of gold with 25 of those years producing more than a 100,000 ounces of gold per annum. We had – Sandstorm had our eye on the project for almost 10 years when the opportunity to create a gold stream was presented to us late last year. Sandstorm will receive fixed deliveries of gold of almost 26,000 ounces over a six-year period and then a 2.9% or 2.55% of the production over the life of mine dependent on whether or not the mine produces over a 100,000 ounces per year. What really makes us so excited about Vatukoula is the exploration potential. As you can see on Slide 12, the stream itself has a 5 kilometer area of interest around the existing mining license illustrated a black. Beyond that, we have additional royalty on the exploration ground with an interest – area of interest as well, which is in gold on that same map. That deposit itself is a caldera hosted epithermal deposit with mineralization only a few million years old. Historical mining of the 7 million ounces has come from only what would amount to slice of less than a quarter of that caldera. However, we do know that mineralization has occurred many other parts of the 7 kilometer diameter caldera. There was a very large gold bearing system with several phases of gold mineralization in this area. In our site visit this spring, we saw new type of mineralization recently discovered within the existing mine workings, that is reminiscent of a more typical hydrothermal brecciated epithermal deposits, perhaps even a feeder zone. This mineralization has allowed the operators, John Goon to develop higher tonnage and more easily minable Stopes that had historically been found, when looking at a more regional basis, this mineralization style may be more extensive and allow for more – allow for a new type of target to pursue property wide. Part of the funds we provided in this stream will be used to investigate this opportunity and it’s also not just John Goon, who has identified this either. As of last week, it was announced that Zijin mining will purchase a 70% interest and will commit to spending $20 million on the exploration licenses on which we have royalties. Again, that’s the area of gold on Slide 12. Of course, having such interest in one of the world’s largest gold mining companies will have a huge impact on future discoveries. Moving on to slide 13 for a quick description of the Vale Royalties, from a technical perspective, we really liked these assets because of the diversity of assets and the quality of product. Particularly from the Northern system assets, with an approximate 65% iron grade, Serra Sul, Serra Norte, and Serra Leste are such high quality assets, we can expect these mines to produce in almost any price environment. Combined with Vale being the largest iron ore producer in the world, lowest quartile iron ore production in the world and world-class infrastructure for transported shipping gives us reassurance that these assets will be able to produce to the end of their reserve lives. And the reserved live certainly could extend substantially for this royalty, because in addition to covering these two very large areas of for mine. There is a total of over 15,000 kilometers square of ground covered. In addition to the iron ore is of course, exposure to copper and gold. Currently, Sossego is our copper and gold exposure in the Northern System, but future copper and gold projects developed by Vale would fall under this royalty as well. This royalty will likely be filled with positive surprises over the years. I don’t know whether it’s not our technical expertise, but it is hard to argue with having a diversify royalty on these assets is a poor strategy, especially when you have such quality upside potential operated by one of the largest mining companies in the world on their home ground. And with that, I’m going to pass the call over to Grant the operator for some Q&A. Of course, please feel free to ask questions about any of our royalties and streams.
Operator: Thank you. [Operator Instructions] Your first question comes from Heiko from H.C. Wainwright. Please go ahead.
Heiko Ihle: Hey, everybody. Thanks for taking my questions and I hope everybody is staying safe and feeling well.
Nolan Watson: Thank you.
Heiko Ihle: The delay at the Hod Maden, walk us through what else could either accelerate or possibly slow down the process from this point on. And also if this question doesn’t make perfect sense, I’m sorry, because I’m not sure how exactly to ask it. But at what point are your prices for construction more in flux? In other words, is there a point where pricing agreements run out or like inflationary things start kicking in anything like that?
Nolan Watson: Yes, I mean, I would say, to answer the first part of the question, in terms of things that could accelerate or slow things down. We don't think that the construction is overly complex at the asset and we think that's a fairly straightforward mind to build, it doesn't take that long. There aren't very many long lead time items, but one of those long lead times items is the road that needs to go to the highway. And my understanding of where that's at is that they've sent that road contract out to tender. They've got the bids back. I believe they're in the processes of finalizing, who they're going to choose to do that in the road. Hopefully, it will get under construction by the end of this year. And if, if it does get under construction by the end of this year, then the mine will stay on track outside of that, it would just be your normal things like permitting you. I don't think we see any other potential delays in construction of the mines. In terms of costs, this is a really interesting time to be building mines. No inflation being higher around the world than it has been historically. One of the things that we – I think benefit from in country is that even though there's substantial inflation, there's also a devaluation of local leader and that helps keep inflation under control. There are still subject to increasing input costs associated with steel and other commodities that are your input costs. But having sale of that of some of those increases were taken into account in the feasibility study that we're going to be putting forward. And if we were to look at some of those costs, say a month ago, I would say some of the raw input costs a month ago, we're looking more expensive than what was priced in the feasibility study. But a lot of those raw input costs are already starting to peel back and come down. Now we're starting to see a cement come off in some places and steel come off in some places and some energy costs come off in some places, certainly in lumber prices around the world are down over the last month. So we're starting to see some of those extreme increases in raw input costs dissipate. And so I think there’s a reasonable amount of conservatism built into the feasibility study. So, when we released that, I think it’s – it should be a fairly healthy, reasonable, conservative document.
Heiko Ihle: Fair enough. Now, that was a very detailed, very good answer. Thank you. You have a chart on the bottom of Page 22 of your MD&A that breaks down your GOs by region, South America, 61%, North America is 31%. It led me to a question that keeps coming up in investor calls, where people are thinking out loud in regards to COVID. I know I’m the guy that brings it up. Have you seen an overall larger impact from COVID in Q3 thus far for the South American assets have results in any area lagged expectations of the past? Call it one, two, three months in any area more than the others? Thank you.
Nolan Watson: Yes, that’s a good question. Thanks for asking it. And certainly we are monitoring operations and see how they’re impacted. But candidly, the impacts that we find are related to timing of shipments and sales. So, we do have some operations where there’s a quarter lag and depending on whether or not they make their shipment back quarter. We get that delivery. And if we don’t then there’s a true-up with respect to our contracts that truths up in the subsequent year. But an actual impact so far we haven’t noticed in any of our results in a material way.
Heiko Ihle: Got it. Wonderful. I’ll get back in queue. Thank you very much.
Nolan Watson: Thank you.
Operator: Your next question comes from Farwell Farwell from ROTH Capital. Please go ahead.
Farwell Farwell: My question, I was just curious about the Vale Royalty. If you can provide some background about how this came about and what Vale incentive was to sell these off?
Nolan Watson: Vale Royalty is it for a long period of time and actually came many years ago when the government privatized Vale and they issued some of these royalties and they did another issuance more recently predominantly to Brazilian funds and hedge funds and a few things. And we were able to approach some of those entities and purchase them off of them. And we're pleased with the amounts that we purchased, but it's a royalty that we think makes a lot of sense and it's been around for a long period of time.
Farwell Farwell: Great. That's all I have. Thanks.
Operator: Your next question comes from John Tumazos from John Tumazos Very Independent Research.
John Tumazos: Thank you very much. Could you refresh us as to what percent of your stock is owned in gold specialist funds? And the extent to which having a certain fraction of your revenue or assets in gold and silver continues to be a goal? My impression is that the gold stocks are getting to single digit cash flow multiples might even be out of favor and the iron ore business is pretty good. And I wouldn't have any problem if you did another transaction the size of what you just did in iron ore and the ratios toward base metals got a little bigger cash flows is cash flow?
Nolan Watson: Yes. Appreciate that. So we historically have had the role where we want to make sure that at least 80% to more of our revenue long-term is coming from precious metals being gold and silver. And with this [indiscernible] acquisition, I think our long-term numbers show 85% precious metals as well within that. So I think we have more room to take on some additional non-precious metals. Having said that we're a precious metal company and we're focused on acquiring more precious metals and the bulk of our, the deal opportunities that we're looking at right now are precious metals, but we're not afraid when it makes sense. Like you said, to make acquisitions where they just – it's a good rate of return on a mining asset. That's got a long life for exploration upside. So, we'll continue to operate that way, and I would agree with your comments. With respect to, sorry, what was the last part of the question?
John Tumazos: Do you want to keep that 80% goal long-term? If I could kid you a little bit, Nolan, change the name of the company the Sandstorm Cash Flow.
Nolan Watson: Yes. We do want to keep that 80% long-term, but we're – what I would like to think, intelligent business people that were going to, if a really, really smart deal is sitting in front of us, I think we'll likely take it. But we are a precious metal company; first and foremost we will continue to be a precious metal company. And in terms of who owns us and gold specialty funds, what I would say in terms of actively managed institutional investors that are gold focused specialty funds, it is a very, very low percentage of Sandstorm shareholder base. We do have a passively managed, so ETFs or in the GDX – or in the GDXJ. We've been in a number of other gold related ETFs specifically in the U.S. What I would say is, we have a lot of retail following in the gold space. So we do have a lot of, I think U.S. based retail investors that are focused on gold and as we said, we're a well-diversified gold royalty company. And so we'll continue to be a well-diversified gold royalty company.
John Tumazos: Got it.
Operator: Your next question comes from Brian MacArthur from Raymond James. Please go ahead.
Brian MacArthur: Hi, good morning. Just two questions on the valley situation. There's a statement in the MD&A talking about another 8.1 million after the balance sheet, I just – was that in the original dealer, that additional one, I mean, I know was announced after quarter and is that in addition to, what's already been announced in your press release. And my second question relates just to, how do you and I get it going forward, it's going to come in with revenue, but with all the provisional pricing that can go on in iron ore, do you get when you put your five point whatever million in for that quarter, is that trued up till June 30 or will there'll be another adjustment going forward, if they have material that's being shipped in and there's adjustment, just trying to figure out the volatility, we may get around it going forward. Thank you.
Nolan Watson: Yes, thanks for that. So the original announcement, of the transaction of $108 million in U.S. of this royalty. So we acquired that in conversations with a number of different entities we owned it. And so that was the total that we were able to acquire at that time, subsequent to the announcement, we found another couple of people to sell us a small amounts of the royalty. So we purchased another $8 million subsequent to that. So the total is $116 million as it stands today. So we own a little bit more of it today than we did on announcement date. In terms of the true-ups, there will be some small true-ups going forward, but it's stable semi-annually, and so there will be some volatility, but we'll get paid in September for the first half of this year.
Brian MacArthur: And sorry, that's very helpful. And just to be clear on the 8.1, does that get backdated to January 1 or because it was post quarter-end, you'll only get one quarter on that I assume, right, forward from the date of acquisition, right?
Nolan Watson: Correct. It's backdated to January 1. So we we'll get the whole payment for that we believe.
Brian MacArthur: Okay. Great. Thanks very much. That's very helpful.
Nolan Watson: Okay. Operator, I think that's it for Q&A right now. But I would recommend that if anyone has any other questions that they want to ask us, we're here, we're around, feel free to call us or e-mail us and we'll make sure everybody gets the answers to the questions that they need. Just want to thank everybody for taking the time to listen to us, and we'll keep working hard to add value for shareholders. And like I said, feel free to call us if you have questions. Thank you everyone.
Operator: Thank you. Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.